Operator: Good morning and welcome to Carpenter Technology's First Quarter Earnings Conference Call. My name is Greta and I'll be your coordinator for today. At this time, all participants will be in a listen-only mode. After the speakers' remarks, you will be invited to participate in the question-and-answer session towards the end of this presentation. I would now like to turn the call over to your host for today, Mr. Mike Hajost, Vice President of Investor Relations & Treasurer. Please proceed.
Michael A. Hajost - Vice President & Treasurer: Thank you, Greta. Good morning, everyone, and welcome to Carpenter's earnings conference call for the first quarter ended September 30, 2015. This call is also being broadcast over the Internet along with presentation slides. Please note, for those of you listening by phone, you may experience a time delay in slide movement. Speakers on the call today are Tony Thene, President and Chief Executive Officer; and Tim Lain, Vice President, Controller and Chief Accounting Officer. Also, in the room, I'm pleased to announce is Damon Audia, Carpenter's new Senior Vice President and CFO. Statements made by management during this earnings presentation that are forward-looking statements are based on current expectations. Risk factors that could cause actual results to differ materially from these forward-looking statements can be found in Carpenter's most recent SEC filing, including the company's June 30, 2015, 10-K and the exhibits attached to that filing. Please also note that in the following discussion, unless otherwise noted, when management discusses sales or revenue, that reference excludes surcharge. When discussing operating income, that reference excludes pension, earnings, interest and deferrals or EID. When referring to operating margin, that is based on sales excluding surcharge and operating income excluding pension EID. I will now turn the call over to Tony.
Tony R. Thene - President, Chief Executive Officer & Director: Thank you, Mike, and good morning to everyone on the call. A special welcome to Damon. We're very happy to have him on this team. Let's get started on slide four with an update on our safety performance. In fiscal year 2015, we reduced our Total Case Incident Rate or TCIR from 3.3 to 2.1, a 36% improvement. For the first quarter of fiscal year 2016, it is disappointing that as a total company we regress with 31 recordable injuries and a 2.3 rate. We plan to reverse this trend by placing great emphasis on employee engagement and human performance factors. A safe, injury free workforce is a more productive workforce and we remain convinced that a zero injury workplace is possible. Let's turn to slide five and a summary of our first quarter performance. A primary driver of our first quarter performance was the continued weakness in the energy market, primarily the oil and gas sector. This, combined with normal seasonality, drove our volumes down 15% sequentially. The decline is consistent with the market outlook update we communicated in early September. An encouraging sign which is overshadowed by the oil and gas decline is the year-over-year growth in our aerospace and defense end-use market. Again, we experienced year-over-year quarter growth and expect that trend to continue. We also experienced year-over-year quarter growth in our transportation end-use market. We expect this market to continue to grow for us. Most importantly, our Special Alloys Operation segment or SAO continues to make progress on operating cost improvement initiatives, despite the lower volume. And, as expected, our Performance Engineered Products segment or PEP was significantly impacted by the weakness in the oil and gas businesses as well as the lower sequential demand for aerospace titanium fastener materials. Now let's turn to slide six and discuss the end-use markets in more detail. Our aerospace and defense end-use market saw a year-over-year growth driven by a modest increase in engine materials sales and strong demand growth for materials used in structural applications. We're also seeing continued strength in our defense-related sales with continued spending on supported programs. This is the fourth consecutive quarter of year-over-year growth for aerospace and defense. As we pointed out on our last call, we did experience a sizable sequential decrease in demand for titanium fasteners following a robust fourth quarter, as well as the normal seasonality impact. Overall, we remain bullish on the aerospace market based on projected build rate and our position on new engine platforms and airframe. Specifically, Carpenter supports each of the new designs offered by major jet engine manufacturers, with high performance materials which are utilized for critical, high temperature applications such as turbine disc and rings, fasteners and bearings. Carpenter also supports the next generation variance of single aisle and wide-body commercial aircraft with high strength and corrosion resistant materials, which are manufactured into landing gear, structural and actuation components. This includes stainless, titanium and superalloy products. Carpenter is also the leading source of supply for materials used in aerospace electrical, avionics and other safety critical system applications. Looking forward, we remain confident in the aerospace market fundamentals and our ability to extend influence as our Athens facility becomes further qualified. Turning to energy. Our energy end-use market continues to be impacted by low oil and gas prices and reduced global demand, which has significantly reduced drilling and completion activity. A key indicator for demand of our materials is in North American quarterly directional and horizontal rig count which is down 51% year-over-year. But it is important to note that this is a market that is still very strategic to Carpenter. Oil and gas drilling will continue to move into harsher environments where corrosion resistance and strength are critically important. These conditions are where we can further differentiate ourselves as Carpenter offers material solutions that extend the life of the tools and reduce the net costs of operation for our customers. For example, our Amega West business, a manufacturer and service provider of complex machine components for drilling and exploration and a part of our PEP segment, has built close relationship with our customers and continues to invest in the development of new material solutions for items such as mud motor applications, rotary shafts and nonmagnetic collars. This focus on new products as well as superior customer service is enabling Amega West to gain share, albeit in a depressed market. We believe these close customer connections will yield dividends when the market recovers. Moving to transportation, which continues to be our fastest growing end-use market as sales are up sequentially and year-over-year. North American light vehicle and heavy duty truck production is forecasted to be near record levels at approximately 17.5 million and 500,000, respectively. Further influencing our sales growth in this market are regulations such as reduced emissions in support of CAFE standards and improved fuel efficiency under U.S. federal and EU emission standards, which favor our technology and industry-leading products. These dynamics allow us to increase positions on engine fastener, valve, and fuel system applications, leading to a richer mix of product. As an example, we recently won with a large OEM for exhaust valves that require alloys to accommodate higher internal combustion temperatures. This is just one area where we are working hard to leverage our strengths and grow our share in the marketplace. Sales to our medical end-use market were down 6% year-over-year, but our mix continues to improve. We experienced a competitive market for our transactional business. However, we continue to experience strong demand for our premium titanium nickel and cobalt materials used for implant. In fact, we see opportunities to grow sales further for these higher end applications. Sales into the industrial consumer end-use market declined year-over-year. This was driven by two ongoing factors. First, slowing global economies have reduced demand for these products, especially through the distribution market. Second, we have seen a ripple effect from lower crude oil prices as a meaningful amount of our industrial material sales are used for components and processing equipment within energy related sectors. Having said that, our overall year-over-year sales into this end-use market declined at a lower rate than volume, evidencing a stronger mix of products. Now, let me turn the call over to Tim to cover the financial review.
Timothy Lain - Vice President, Controller & Chief Accounting Officer: Thanks, Tony. Good morning, everyone. Let's start on slide eight with the income statement summary. Net sales in the quarter were $456 million or $385 million excluding surcharge. Sales excluding surcharge were down 17% sequentially on 15% lower volume. The gross profit margin, excluding the impacts of surcharges, was 17.8% in the current quarter as compared with 19.1% in the sequential quarter. The reduction in gross margin reflects the impact of the lower sequential volume. It was critical for us to drive operating cost improvement initiatives as the lower volumes would have had a much more significant impact on gross margin had we not taken the actions we took to reduce operating costs. More work needs to be done on driving operating costs lower, but we remain confident that we can build on the momentum we've seen over the last two quarters. In the quarter, selling, general and administrative expenses were $43.4 million, which is down $1.8 million sequentially and $3.6 million year-over-year. The results reflect continued focus on cost control throughout the organization. Operating income was $24.8 million in the quarter. Excluding pension EID, the restructuring charges and special items, operating income was $32.6 million or 8.5% of net sales, excluding surcharge. We'll walk through the significant drivers of the sequential changes in adjusted operating income in a later slide. Also to note, on a year-over-year basis, operating margins improved by 290 basis points. Our first quarter effective tax rate was 44.7%, which includes a $2 million discrete tax charge as a result of our decision to pursue the sale of an equity method investment in India. Excluding this discrete charge, the effective tax rate would have been 32.3%, which is in line with our anticipated normal rate for the fiscal year 2015. Net income for the quarter was $8.9 million or $0.18 per share. Adjusted for the $4 million of after-tax restructuring charges and special items, which I'll cover in the next slide, earnings per share would have been $0.26 per share. Let's move on to slide nine to discuss the restructuring charges and special items in a little bit more detail. The restructuring charges in the current quarter represent some trailing cost associated with the actions we took in connection with the restructuring plan we outlined in our prior year third quarter. The special items in the quarter include $1.7 million after-tax of consulting costs associated with our Business Management Office and certain strategic planning initiatives. Also, as I mentioned on the previous slide, in the current quarter, we recorded a discrete tax charge of $2 million. For your reference, the operating income impact of the restructuring charges and special items are included in corporate costs and not included in our segment operating income. Moving to slide 10 on the adjusted operating income bridge. We have included an adjusted operating income bridge to provide some more clarity on the drivers of the sequential change in adjusted operating income from $48.2 million in Q4 of fiscal year 2015 to $32.6 million in the current quarter. Working our way from left to right on the bridge, the lower sequential volumes are mainly a result of the weakness in energy and industrial consumer markets as well as the normal seasonality, all of which was covered earlier by Tony in his comments on the market. There was also some unfavorable mix shift from Q4 of fiscal 2015 to Q1 of fiscal 2016. This market dynamic put considerable pressure on our result. We estimate that the combined impacts of volume and mix resulted in about $33 million of lower sequential operating income. The actions we initiated at the end of fiscal year 2015 to reduce our operating costs were especially important in this environment of lower volumes. The benefits we recognized as a result of our efforts on cost improvement had a meaningful impact on our operating income performance in the quarter. We estimated to have about a $60 million sequential cost benefit in operating income. As a reminder, we said the restructuring actions we initiated were expected to yield about $30 million of annual fixed overhead cost savings. We remain on track for these savings. In addition, the team is working hard to execute on opportunities to further reduce variable operating costs. Lastly, the other bucket includes a $4 million benefit associated with an insurance recovery during the current quarter that is included in the SAO segment, which is largely offset by the impact of the inventory valuation adjustment reported in our PEP segment in Q4 of 2015 that did not repeat in the current quarter. Moving on to slide 11 and the free cash flow summary. In the first quarter, we generated $7 million of positive free cash flow. The free cash flow results for the quarter include the impact of increasing inventories by about $33 million. Historically, we tend to ship more material in the second half of our fiscal year due to some seasonality and customer order pattern. Accordingly, we generally build inventory in Q1 and Q2 and reduce inventory in the second half of the year. We remain committed to our plans for further year-over-year reductions in inventories from where we ended fiscal year 2015. In the quarter, we used cash to pay for $30 million of capital expenditures and received an insurance claim reimbursement of $4 million. We remain committed to our capital spending targets of $120 million for the fiscal year. And we will continue to manage capital projects closely to balance the need for maintenance and infrastructure capital against investments to capitalize on growth opportunities. Our total liquidity stands at $524 million, which includes $31 million of cash on hand and $493 million of available borrowings under our credit facility. Let's move on to slide 12. Slide 12 is an update of the two-year $500 million share repurchase program that was authorized in October of 2014. Through September 30, 2015, we spent about $170 million to buy our shares or about 34% of the total offering. During the first quarter, we used $46 million of our cash to purchase approximately 1.2 million shares. We remain committed to the share repurchase program and plan to continue to execute the authorization based on the needs of the business, general market conditions and the market price of our stock at any given time. With that, let me turn the call back to Tony.
Tony R. Thene - President, Chief Executive Officer & Director: Thanks, Tim. Let's turn to slide 14 to cover the individual reporting segments, starting with SAO. Compared to fourth quarter of fiscal year 2015, net sales ex-surcharge are down 16% on 15% lower volumes driven by normal seasonality and further demand weakness in the energy and industrial and consumer market. And as I mentioned earlier in my market comments, transportation remains a bright spot for demand growth. Operating margins were relatively flat sequentially. Normally, I wouldn't be satisfied with flat sequential margins, but I think it is important to highlight that the SAO team was able to achieve this result despite a 15% reduction in volume. We're making real progress on reducing our operating costs and it is showing up in our results. As you know, last March we implemented a plan to reduce fixed overhead costs by approximately $30 million annually and we are on track for these savings. We are also focused on reducing our variable manufacturing costs. And in a period of reduced volumes, I'm encouraged by the results. As we look to the second quarter of fiscal year 2016, we expect similar volumes due to the continued weakness in oil and gas demand. However, we expect to see steady demand in our aerospace and defense markets and further opportunities to grow in transportation. Although we have made meaningful progress with the cost improvement initiatives, we are by no means complete and it remains a top priority for the team. Now let's turn to slide 15 and the PEP segment overview. On a year-over-year basis, performance in PEP was significantly impacted by the decline in the oil and gas business due to limited drilling activity. Of the $10.1 million year-over-year operating income decline, 84% is due to the downturn in the oil and gas business. Sequentially, PEP sales and operating income were down driven by three primary factors. The aerospace demand for titanium products was lower due to short-term adjustments in the aerospace fastener supply chain, lower demand for industrial and consumer powder products, and as we mentioned in our fourth quarter fiscal year 2015 earnings call, we had a favorable operating income impact related to inventory valuation that did not repeat this quarter. It is worth noting that on a sequential basis, the operating results of the oil and gas businesses within PEP remained relatively constant despite a 24% decrease in revenue. This was driven primarily through tight cost control. For the second quarter of fiscal year 2016, we expect sales to be relatively consistent with the first quarter. More specifically, we expect aerospace demand for titanium products to continue at the reduced first quarter levels. Again, this is due to short-term adjustments in the aerospace fastener supply chain. We do not expect this to be a long-term trend. In addition, we expect continued softness in industrial and consumer demand for powder products. Lastly, we currently expect oil and gas demand to remain at their current low levels. As we navigate the oil and gas downturn, our focus continues to be on cost control and strategic positioning. We're pursuing new and innovative ways to provide high quality service to our customers with the goal of gaining market share so that we are well-positioned for the future. Turning to slide 16, let me give you an update on two very exciting growth enablers for Carpenter. Let's start with our Athens facility. During September, we achieved our second aerospace VAP qualification for Athens. We are still on track to achieve broader aerospace VAP approvals during calendar year 2016. We are also making progress towards obtaining site qualification for our nickel-based superalloy materials used in oil and gas completion applications. The standards for these materials have become more stringent and an increasing number of supply chain partners are now involved in the approval process. At this point, we have achieved the required technical targets and have five external approvals complete. This work will continue through the second fiscal quarter, and we expect to have the bulk of these qualifications completed by the end of calendar year 2015. Overall, we have achieved 85% of the planned non-VAP product approvals for various end-use market applications. Within aerospace, this includes fasteners, standard grade rings, and structural stainless steels for airframe applications. Within oil and gas, the facility is also qualified to make nonmagnetic drill collars and within transportation, materials used for engine component. Like you, we would like the process to move quicker, but we are making the appropriate progress on what is a complex and lengthy qualification cycle. I can assure you that the team remains laser focused as it is one of our highest priorities. I am proud of the employees at our Athens facility and their focus on safety, qualifications and cost control. Remember, although, the facility is currently running at low utilization levels, as we work to obtain required qualifications, our finances reflect the full operational cost of the facility. Therefore, as the aerospace market grows and when energy market shows even modest improvement, the operating margin benefit to our bottom line will be significant. Now let's talk about Carpenter Powder Products, an exciting growth business for us. Our Powder Products business consists of four manufacturing locations in the U.S. and Sweden and is one of the world's most diverse producers of spherical gas atomized specialty alloys from true steels and stainless steels to nickel and cobalt-based superalloys that will be produced at our recently constructed facility on our Athens campus in Alabama. Carpenter Powder Products leads the way as a powder supplier for additive manufacturing, metal injection molding, coatings and consolidated parts produced by hot isostatic pressing. Support from a strong research and development team has allowed our products to be main stage, used in cell phones, subsea oil and gas systems, automotive fuel systems and aircraft engines. And, just recently, we approved a capital expenditure to build a titanium powder operation adjacent to our powder facility in Athens, Alabama. This titanium powder product offering will increase our reach into aerospace and medical markets and offer growth opportunities in transportation. We will be able to supply a complete sales offering to additive manufacturing OEMs, service providers, and machine suppliers. It is important to note that the capital spending for the project is included in the guidance we have communicated previously. Let's turn to slide 17 and my closing comments. It is clear that the weak energy end-use market is challenging to Carpenter and the entire industry. However, it is important to note that our products and markets are generally not significantly impacted by the major issues that are being experienced by those that participate in flat rolled commodity stainless steel market, such as significant global overcapacity, a surge in low-cost imported materials and low nickel price. We are defined by our high value, long only differentiated products that are used in demanding niche applications. We expect second quarter volumes to be in line with the first quarter volumes. However, we expect to see increased volumes in the second half of fiscal year 2016. Specifically, aerospace and defense exceeding fiscal year 2015 levels and additional growth opportunities in the transportation market. Although the weak oil and gas market will create challenges, it also creates opportunities for us to continually reevaluate our cost structure. The cost actions to-date are good early steps to improve the business and better position us going forward as a more flexible and profitable company. We will maintain our efforts to improve working capital efficiency and maintain capital spending discipline. And we will continue to execute against our share repurchase program. We have added key new management talent to the Carpenter team. They have critical skill sets and experiences that will support and supplement the current management team. And, most importantly, we have a workforce that is engaged and eager to move this company forward. Thank you for your attention. And I will turn it back to the operator to open the line for your questions.
Operator: Your first question comes from the line of Gautam Khanna with Cowen and Company.
Gautam Khanna - Cowen and Company, LLC: Good morning, Tony.
Tony R. Thene - President, Chief Executive Officer & Director: Good morning, Gautam. How are you?
Gautam Khanna - Cowen and Company, LLC: Doing great, thanks. Hey. I was just wondering if you could update us on your buyback plan and your CapEx – I m sorry, your inventory target for the year. Do you expect to have a net drawdown of inventory this year? What should we make as a pace of the buyback sort of slowing in the second and third months of the quarter, especially thinking about that going forward?
Tony R. Thene - President, Chief Executive Officer & Director: Yes. So I'll take the first one, your inventory question. Yes. It's still our plan to work hard to get the $50 million of inventory out. As we said, the first quarter is usually higher as we get ready for the higher shipments that we expect in the second half. So we still remain committed to that. In terms of the buyback, it's not going to be linear. We are on pace, I think, to execute that program. Obviously, there are times that we can and can't be in the market. We take that very seriously. So I wouldn't read anything into that as far as our intent to move forward.
Gautam Khanna - Cowen and Company, LLC: Okay. And can you just talk a little bit about what the utilization level is in Athens right now and where you expect it to be given the demand increase you expect in the second half exiting this fiscal year?
Tony R. Thene - President, Chief Executive Officer & Director: Right. It's a tough question, Gautam, as you know I have talked about several times. We are at a low level of utilization in Athens right now. You could say we're at 15% to 20%. We'll have to see how the oil and gas market behaves in the second half of our fiscal year and how the qualification process moves. But I don't anticipate that moving significantly upward over the rest of our fiscal year.
Gautam Khanna - Cowen and Company, LLC: Okay. That's despite the aerospace qualifications being reached?
Tony R. Thene - President, Chief Executive Officer & Director: Yes. What we've got – yeah, I think, as you look at the big ones that – the thing that's going to move Athens, Gautam, is the aerospace market continuing to move upward. That's what's going to do it. And we want to make sure that our qualifications are timed that we can take advantage of that increase. And right now we believe we're making good progress.
Gautam Khanna - Cowen and Company, LLC: Okay. I'll turn it over. Thank you, Tony.
Tony R. Thene - President, Chief Executive Officer & Director: Thanks, Gautam.
Operator: Your next question comes from the line of Steve Levenson with Stifel. Please go ahead.
Stephen E. Levenson - Stifel, Nicolaus & Co., Inc.: Thanks. Good morning, everybody.
Tony R. Thene - President, Chief Executive Officer & Director: Good morning, Steve.
Stephen E. Levenson - Stifel, Nicolaus & Co., Inc.: Do you guys do some work? Is there a particular oil price that you think has to be reached before demand starts to recover in that market?
Tony R. Thene - President, Chief Executive Officer & Director: Well, I'll leave that to the experts, Steve. I know that there's a lot of material out there on that one and a lot of different opinions.
Stephen E. Levenson - Stifel, Nicolaus & Co., Inc.: Okay. Thanks. Second, on aero programs, I know one of your customers has had a few issues in some of the testing of their agents. Has that slowed down their drawing of material or are things moving forward as you expected?
Tony R. Thene - President, Chief Executive Officer & Director: We've not seen any impact on our aerospace, our sales or how we expect them to be going forward.
Stephen E. Levenson - Stifel, Nicolaus & Co., Inc.: Okay. And last question. You talked about the different powders and you mentioned some applications. I don't think you mentioned isothermal foraging. Is that something you can supply for too or would you have to make some additional investments to further process powders?
Tony R. Thene - President, Chief Executive Officer & Director: No, we'd be able to do that.
Stephen E. Levenson - Stifel, Nicolaus & Co., Inc.: Okay. Thank you very much.
Operator: Your next question comes from the line of Chris Olin with Rosenblatt Securities. Please go ahead.
Chris Olin - Rosenblatt Securities, Inc.: Hey. Good morning.
Tony R. Thene - President, Chief Executive Officer & Director: Good morning, Chris.
Chris Olin - Rosenblatt Securities, Inc.: I wanted to just dig a little bit further into your commentary on aerospace. And looking at your second half expectations, is that driven by new builds or are you seeing anything changing regarding the MRO or the replacement market out there?
Tony R. Thene - President, Chief Executive Officer & Director: No, we're not seeing any specific changes. I mean, usually our first quarter is our lowest quarter in terms of aerospace due to the seasonality. We've experienced I think four quarters in a row now of year-over-year growth. And there's nothing out on the horizon that would tell us that that would change for us over the next three quarters.
Chris Olin - Rosenblatt Securities, Inc.: Okay. There has been some discussion with some of your competitors and some other companies about perhaps the aerospace channel over-purchased over the last couple of quarters. And I know you hit on that with the titanium fastener side. I was just curious if you're seeing any added inventory in the other material that you supply.
Tony R. Thene - President, Chief Executive Officer & Director: No, we are not.
Chris Olin - Rosenblatt Securities, Inc.: Last question. When you talk about the certifications or the approval process with Athens, how long does that typically take to, after the approvals are given, to translate into better volumes?
Tony R. Thene - President, Chief Executive Officer & Director: Yeah. Well right now, if you look at the oil and gas, it's going to take the market coming back, right, to have any significant volumes down at Athens.
Chris Olin - Rosenblatt Securities, Inc.: If we saw some approvals on aerospace in calendar 2016, would we assume that that drives volumes in the calendar 2017 year or how do I think about the aerospace contribution?
Tony R. Thene - President, Chief Executive Officer & Director: Yes.
Chris Olin - Rosenblatt Securities, Inc.: Got you.
Tony R. Thene - President, Chief Executive Officer & Director: Yes.
Chris Olin - Rosenblatt Securities, Inc.: Thank you.
Tony R. Thene - President, Chief Executive Officer & Director: Thank you.
Operator: And your next question comes from the line of Andrew Lane with Morningstar. Please proceed.
Andrew Lane - Morningstar Research: Hi. Good morning.
Tony R. Thene - President, Chief Executive Officer & Director: Good morning, Andrew.
Andrew Lane - Morningstar Research: Could you talk a little bit about what the product mix of your backlog looks like right now, particularly for aerospace shipments? Are the orders in your backlog by and large associated with higher margin product lines relative to what you shipped in fiscal 2015?
Tony R. Thene - President, Chief Executive Officer & Director: I would say if you take a look at our backlog, it's pretty consistent. It's down a bit, only because the lead times have come in a little bit. But if you look at the mix, I would say it's pretty similar.
Andrew Lane - Morningstar Research: Okay. Thanks. And then finally here, given that you guided to $120 million of CapEx this year, I wanted to ask as to when you expect to incur CapEx for the new titanium powder project at Athens? And if it starts this fiscal year, where does that leave your estimate for sustaining CapEx on an ongoing basis?
Tony R. Thene - President, Chief Executive Officer & Director: Yeah. Well, we'll spend a little bit of money in this fiscal year on titanium powder facility. Not all of it. But that will be spent within the $120 million.
Andrew Lane - Morningstar Research: Right. So, on a sustaining basis or maintenance CapEx basis, do you have a general estimate for where you stand?
Tony R. Thene - President, Chief Executive Officer & Director: Well, I mean, we don't give that specific guidance. I would say that over the last couple years we're around 80% to 85% of depreciation.
Andrew Lane - Morningstar Research: Okay. Thank you very much.
Tony R. Thene - President, Chief Executive Officer & Director: Yes.
Operator: And your next question comes from the line of Josh Sullivan with Sterne CRT. Please proceed.
Josh W. Sullivan - Sterne Agee CRT: Good morning.
Tony R. Thene - President, Chief Executive Officer & Director: Good morning, Josh.
Josh W. Sullivan - Sterne Agee CRT: Can you just clarify where you were caught off guard in September versus the guidance in July? I mean, obviously markets are in a tough position. What were the assumptions that led to that revision? And then more importantly, the current guidance, are you exposed to any of those similar type of venue mix?
Tony R. Thene - President, Chief Executive Officer & Director: Well, I'm not sure exactly what you mean when you say caught off guard. What we try to do is march with the market on a daily, weekly, monthly basis. And we think it's appropriate for us to give updates if we think that's material, which is what we did. The market has moved significantly over the last six months. I think everybody would agree with that. When we saw that, we made note of it.
Josh W. Sullivan - Sterne Agee CRT: Okay. That's very nice. And then just given the decline in nickel pricing, I mean, is there any possibility of an inventory adjustment at some point or are the contracts mostly pass-through and that's not?
Tony R. Thene - President, Chief Executive Officer & Director: Yeah. We don't anticipate any adjustment there.
Josh W. Sullivan - Sterne Agee CRT: Okay. Thank you.
Tony R. Thene - President, Chief Executive Officer & Director: Thank you.
Operator: Your next question comes from the line of Phil Gibbs with KeyBanc Capital Markets. Please go ahead.
Philip N. Gibbs - KeyBanc Capital Markets, Inc.: Good morning, Tony.
Tony R. Thene - President, Chief Executive Officer & Director: Good morning, Phil.
Philip N. Gibbs - KeyBanc Capital Markets, Inc.: I had a question on the cost reductions. Can you bridge here the $16.4 million? You're citing lower quarter-on-quarter. Any idea or sense how much of that is variable versus fixed cost reductions?
Tony R. Thene - President, Chief Executive Officer & Director: Yeah. I'll let Tim take that question, Phil.
Philip N. Gibbs - KeyBanc Capital Markets, Inc.: Thanks.
Timothy Lain - Vice President, Controller & Chief Accounting Officer: Hi, Phil. This is Tim.
Philip N. Gibbs - KeyBanc Capital Markets, Inc.: Hi, Tim.
Timothy Lain - Vice President, Controller & Chief Accounting Officer: So – hi. We captured all that in that one bucket of cost, as you can see and as you noted. We said we were on the last call on the fourth quarter call that if you take that $30 million and you look at it on a quarterly run rate, I think we already said we had a pretty significant portion in Q4 and then we're kind of hitting our target here in Q1. So there is some incremental but not a lot on the fixed cost side from Q4 to Q1. And then whatever is left is, call it, variable.
Philip N. Gibbs - KeyBanc Capital Markets, Inc.: Okay. That's helpful. And on the side of the – I think it was an insurance settlement, was that in your $41 million of profitability for SAO in Q1 or did that flow through separately?
Timothy Lain - Vice President, Controller & Chief Accounting Officer: Yeah. As I mentioned, Phil, the $4 million was part of our operating income in Q1. And that was an insurance recovery. We had some extra costs last year related to that particular issue. So it's just part of the flow in operating income.
Philip N. Gibbs - KeyBanc Capital Markets, Inc.: Okay. And just lastly from a housekeeping perspective, I think, we were looking for about $8 million in interest expense and the quarter came in at $6.6 million. Is that the rate we should be thinking about moving forward?
Timothy Lain - Vice President, Controller & Chief Accounting Officer: That's going to move around a bit, Phil, based on some interest rate swaps and some other things. But I'd say that that could be fairly consistent, our run rate.
Philip N. Gibbs - KeyBanc Capital Markets, Inc.: Okay. Thanks, Tim. Thanks, Tony.
Tony R. Thene - President, Chief Executive Officer & Director: Thank you.
Operator: And that concludes the question-and-answer portion of today's call. Let me now turn it over to Mr. Mike Hajost for any closing remarks. Please go ahead, sir.
Michael A. Hajost - Vice President & Treasurer: Thank you again for participating on today's call. We look forward to speaking with you again next quarter. Thank you and good-bye.